Operator: Greetings, and welcome to the Primerica's Third Quarter 2023 Earnings Webcast. [Operator Instructions]. It is now my pleasure to introduce to you, Nicole Russell, Head of Investor Relations. Thank you, Nicole. You may begin.
Nicole Russell: Thank you, John. Good morning, everyone. Welcome to Primerica's Third Quarter Earnings Call. A copy of our earnings press release, along with other materials relevant to today's call are posted on the Investor Relations section of our website. Joining our call today are Chief Executive Officer, Glenn Williams; our Chief Financial Officer, Alison Rand; and our EVP of Finance and Future CFO, Tracy Tan.  Our comments this morning may contain forward-looking statements in accordance with the safe harbor provisions of the Securities Litigation Reform Act. We assume no obligation to update these statements to reflect new information and refer you to our most recent Form 10-K filing, as may be modified by subsequent Form 10-Q for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied.  We will also reference certain non-GAAP measures, which we believe provide additional insight into the company's operations. Reconciliations of non-GAAP measures to their respective GAAP numbers are included at the end of our earnings press release and are available on our Investor Relations website.  I would now like to turn the call over to Glenn.
Glenn Williams: Thank you, Nicole, and thanks, everyone, for joining us today. Our third quarter results underscore the fundamental strength of our distribution capabilities and the value of our complementary insurance and investment businesses. Term Life pretax income is up 7% year-over-year, while ISP pretax income grew 9%, representing the segment's first year-over-year increase since the first quarter of 2022. We also continue to drive growth in the size of the sales force with a 4% increase since September 30, 2022.  Starting with a quick recap of our financial results. Adjusted operating revenues of $713 million during the quarter rose 5% year-over-year while adjusted net operating income of $154 million increased 9% and diluted adjusted operating earnings per share of $4.28 increased 14%. These results reflect the steady contribution from our large in-force book of term life insurance, strong term life sales, growth in client asset values and the benefit of higher interest rates on our investment portfolio.  The Senior Health segment recorded a modest loss as we position the business for the start of the annual enrollment period. On the capital deployment front, we repurchased $106 million of our common stock during the quarter for a total of $302 million in the first 9 months of 2023. We also paid $23 million in stockholder dividends during the third quarter. Given the strength of our capital and liquidity positions, we believe we will meet our targeted repurchases of $375 million for the year.  Turning now to distribution. Both home office and field leadership remain focused on our common goal of growing the sales force. The attractiveness of our entrepreneurial business opportunity continues to fuel recruiting. During the quarter, we welcomed more than 92,000 individuals as new recruits to Primerica.  We also -- are also seeing solid progress in licensing with a total of 12,311 individuals obtaining a new life license during the quarter, pushing the size of the life licensed sales force to over 139,000. We remain confident in our ability to expand the size of our sales force and project around 3% year-over-year growth in the fourth quarter.  Turning next to the Term Life business. We issued approximately 88,500 new term life policies during the quarter, up 9% compared to the adjusted policy count in the prior year. We issued $29.5 billion in new term life protection for our clients, a 13% increase compared to the face amount issued in the prior year period. The productivity of our sales force remains solid at 0.21 policies per life license rep per month compared to 0.20 in the prior year period. Looking ahead, we expect fourth quarter policies issued to grow approximately 6% to 7% year-over-year or around 6% on a full year basis.  Let's look now at our Investment and Savings Products business. Total sales of $2.2 billion during the quarter remained largely unchanged compared to the third quarter of 2022. Sales of annuity products rose 17% compared to the prior year period as annuity providers continue to enhance products, leading to higher investor demand for variable annuities and the guarantee features they offer.  During the quarter, we also transitioned our managed accounts business from TD to Pershing as our custodian. This conversion caused a temporary disruption in sales, which is now behind us. Changes of this magnitude generally require a period of adjustment as advisers familiarize themselves with new technology and help their clients log in and navigate the new platform. With the conversion complete, we were able to retain 98% of client assets. Advisers are adjusting and sales levels normalized in October.  Finally, sales of Canadian segregated funds are down substantially after Canadian insurance regulators followed the lead of securities regulators and banned deferred sales charges on new product sales. We are actively looking at alternate segregated fund solutions for our clients in Canada.  Ending client asset values were $88.4 billion on September 30 or 12% above the prior year period and down approximately 3.5% versus June 30, 2023, as market volatility during the quarter pressured equity values.  Net client inflows of $192 million during the quarter reflected approximately $150 million in redemptions from the 2% applied assets that did not convert to the new managed account custodial platform. Based on October trends, we expect fourth quarter ISP sales to grow around 5% year-over-year.  We've received questions about the DOL's recent fiduciary proposal that came out on October 31, that proposed rule is subject to a comment period and potential challenges that make it hard to draw any firm conclusions at this time. However, due to the nature of our ISP business, and process changes we previously adopted, we believe we will be well positioned to deal with any final DOL rule.  Turning next to senior health. During the third quarter, which is seasonally the most challenging period of the year, we saw stable LTVs for the fourth consecutive quarter. However, contract acquisition costs per approved policy of $1,263 as well as sales volumes were pressured by a higher mix of newer, less productive agents. While our agent count has grown, we've had higher-than-expected attrition of experienced agents and new hires were onboarded and trained later in the year than we planned.  We also identified an inefficiency in our use of leads, which has now been corrected. As we make course corrections to further improve our agent recruiting and onboarding, we are moderating our expectations for fourth quarter and AEP and expect approved applications to be down over 10% from last year. We believe that Primerica representatives will continue to be a valuable source of quality leads for e-TeleQuote and estimate their referral activity will contribute more than 20% of submitted applications during this year's AEP.  We remain committed to our senior health business and believe there is room for more improvement. Our new leadership team established since our acquisition is fully in place, creating a strong foundation for the future. We will not need to provide capital to the subsidiary in 2023 and we do not anticipate the need to provide capital in 2024.  Before turning to Alison to review of our financial results, I'd like to comment on our CFO succession process. As you know, Alison has announced her retirement effective April 1, 2024, after nearly 23 years as CFO. Her leadership has provided tremendous financial discipline and performance, which we'll continue to build upon.  Alison's successor, Tracy Tan, has recently joined Primerica. Tracy is an accomplished business leader with 20 years of experience as CFO across multiple industries, including financial services. The depth and breadth of her experience and business acumen will enable her to guide Primerica to continued growth. Tracy is working closely with Alison on the transition. Tracy, welcome to the Primerica team.
Tracy Tan: Thank you, Glenn. I appreciate the vote of confidence, and I'm excited to join Primerica. The company's mission to help middle-income families is well aligned with my own personal values. It is an honor to succeed Alison, who leaves behind a great legacy. I'm committed to leveraging my experiences to drive Primerica's continued growth and value to our stockholders.
Glenn Williams: Thank you, Tracy. It's great to have you on board. Alison, I also want to thank you for your extraordinary leadership, tireless dedication and wise counsel throughout the years. You've been an integral part of Primerica's success, and you'll be missed after your retirement next April.
Alison Rand: Thank you, Glenn. Thank you, Tracy. So really -- those really kind words, I do appreciate it. And good morning, everyone. Let me expand on our third quarter financial results by taking a closer look at the financial contribution of each segment.  Starting with Term Life, we continue to benefit from the strong profits generated by this segment. Pretax operating income of $141 million increased 7% year-over-year, driven by 6% growth in adjusted direct premiums. Based on current sales and persistency expectations, we expect ADP to continue to grow by approximately 6% year-over-year in the fourth quarter. We also expect the Term Life segment to continue to be a strong source of free cash flow for the company.  The Term Life pretax operating margin was 23% in the third quarter versus 22.8% in the prior year period. We express our Term Life margin and financial ratios as a percentage of adjusted direct premiums as we believe this is the best revenue basis to evaluate performance. In doing so, we view other ceded premiums, which are the amounts paid to our YRT reinsured through lock-in mortality costs as a component of our benefit cost rather than a contra revenue as presented on a GAAP basis.  Under LDTI, Term Life margins are expected to be stable and predictable. They are not highly sensitive to changes in persistency and mortality experience variances are highly mitigated by reinsurance and partially spread to future periods.  Benefits and claims, DAC amortization and insurance expense ratios in the third quarter were all consistent with the prior year period at 57.9%, 11.7% and 7.3%, respectively. We expect margins and financial ratios to remain stable in the fourth quarter.  Turning to persistency. We continue to see elevated lapses most notably on policies sold near the onset of or during the pandemic when various financial aid programs were widely available to middle income marketplace. The combination of our ongoing cost of living pressures and the elimination of financial aid programs are likely contributors to the timing of these lapses.  Persistency for both policies issued over the last year as well as older policies are generally in line with historical trends underlying our LDTI assumptions. While economic headwinds are likely to continue in the near term, we believe that persistency experience across all durations will revert to historical levels over time.  During the third quarter, we performed our annual assumption review. We did not identify any trends or experience that we believe require us to change our long-term assumptions for lapses or aggregate benefits including both mortality and disability rates for our waiver of premium rider. As noted, we believe the elevated lapses seen in some policy durations will revert to historical levels over time.  In regard to mortality, variances are inherently limited by our extensive YRT reinsurance program. Claims have been modestly favorable to assumptions in 2023 what we believe this is near-term experience volatility in their existing LDTI mortality assumptions continue to reflect the long-term best estimate for benefit reserve. We've also seen some variability in disability rates underlying our waiver premium benefit, which we will continue to monitor.  Turning next to the Investment and Savings Products segment. Third quarter operating revenues of $219 million and pretax operating income of $64 million were both up 9% year-over-year. Sales-based revenues and commission expense both rose 7%, in line with revenue-generating sales. Asset-based revenues increased 11%, consistent with 10% growth in average client asset value.  Total expenses on asset-based products, including commission expenses and for segregated funds, both DAC amortization and insurance commissions increased in line with asset-based revenue. With regard to seg fund, we have seen a drop off in sales due to new regulations. But given we earned commissions based on client assets, which were only down 3% year-over-year, the impact to earnings will emerge slowly over time.  In our Senior House segment, we continue -- excuse me, in our Senior Health segment, we recognized a $7.6 million loss for the quarter. LTV per approved policy was $911, a 5% increase over the prior year period. We recorded a $2.3 million positive tail adjustment in the quarter to reflect the impact of stabilizing persistency on import policies and annual rate increases.  Marketing development revenues of $2 million were down slightly year-over-year. Beginning in the fourth quarter, most marketing development revenues will shift from other net revenues to the commissions and fees revenue line due to a change in our contracts with certain health insurance carriers. Though generally neutral to total revenues, the change will result in higher LTVs and link most marketing development revenue opportunities directly to approved policies.  CAC per approved policy of $1,263 was up significantly year-over-year based on factors Glenn described earlier. We expect to recognize a small loss in the fourth quarter, but will not need to provide capital to the segment in 2023 nor do we anticipate a need to do so in 2024.  The Corporate and Other Distributed Products segment recorded a pretax operating income of $3 million during the quarter. A key driver of segment results was adjusted net investment income, which at $35 million for the quarter, up $11 million year-over-year. Our average yield on new investment purchases for the quarter was about 6% with an average rating of AA- and an average duration of about 5 years. In comparison, the average book yield on maturities for the period was under 4%. We expect to continue benefiting from higher yields and growth in their portfolio in the fourth quarter.  Our invested asset portfolio ended the period at an unrealized loss of $343 million, which continues to reflect a steep rise in interest rates since the beginning of last year. We regularly evaluate the portfolio for possible credit impairment and do not believe the large unrealized loss is due to significant credit concerns with our holdings. We continue to have the intent and ability to hold these investments until maturity.  Third quarter consolidated insurance and other operating expenses were $137 million, up $6 million or 4% compared to the third quarter of 2022. The increase is mainly attributable to higher employee-related costs and normal growth in our business. Costs increased less than anticipated in August due to the timing of certain technology projects and pullback in equity markets that led to lower ISP asset-based operating expenses than expected.  Looking ahead, we expect fourth quarter insurance and other operating expenses to increase around $4 million or 3% year-over-year with increases coming mainly from higher employee-related costs and continued growth in the business. This would result in full year expense growth of about 3% year-over-year which is lower than typical due to heightened expense levels in 2022 from holding an additional sales force leadership event post COVID.  With that, operator, let's open the line up for questions.
Operator: [Operator Instructions]. And the first question comes from the line of Ryan Krueger with KBW.
Ryan Krueger: My first question was just on expenses. So I think, Alison, you talked about 3% growth for the year. I think the guidance last quarter was 5% growth. I guess, first -- one question is just what led to the lower expenses than you were previously anticipating? And then what would you view as a more normal growth rate in expenses over time for the company?
Alison Rand: Yes. Great question, Ryan. Yes, we did anticipate, and I mentioned in my prepared comments, we had anticipated in the third quarter, 2 things. One is sort of to kick in on certain technology projects that at this point, we don't think will happen until more so at the beginning of next year.  And second of all, we did see pullback in equity markets during the third quarter, as Glenn described, and that does correlate with lower operating expenses in that segment as well because quite a bit of our expenses come from fees we pay to providers to do record keeping and the like. So -- and a lot of those are asset based.  So anyway, those are sort of the 2 big pieces that caused us to have lower expenses than we expected this quarter. And we don't see a lot of that turning around or timing wise in the fourth quarter.  I do -- I think your point about next year, our normalized type of growth rate is important. I did highlight, and I will continue to highlight that the 3% growth we saw this year is atypical. A lot of it really had to do with things that we incurred outside of the normal course in 2022. Big chunk of that came from doing 2 leadership events and a convention all in 1 year, which is very atypical for us, but we got backed up because of COVID.  So I do look at the future, and I think I've said this in the past, I think you should look at this business more in, let's say, the 5% to 7% growth rate in expenses, unless -- unless there's something very specific that we have to do to drive the business. So we make some kind of substantial commitment to an endeavor.  The caveat around that is a lot of our expenses are really tied directly to our revenue sources. So to the extent we see any kind of extreme fluctuation in our revenue sources, say, because of changes in the stock market, that could change that perspective. But in a normal situation, I would expect anywhere from 5% to 7% be the general range.
Ryan Krueger: Great. That's really helpful. And then, Glenn, I just wanted to follow up on the DOL proposal. Maybe one thing -- I think that might be helpful. Could you provide some comments on kind of things that you already changed to prepare for the 2016 rule as we think about the current proposal? And then just -- just general thoughts on kind of how this proposal looks to you relative to what had been -- had occurred last time around?
Glenn Williams: Right. Well, it is very early, Ryan, as I stated in my prepared comments and lots of time for commentary from the industry and even push back after the fact. So it's a little hard to draw an exact beat on. But I do think 2 things going in our favor is that our business is fairly simple compared to other models as far as our product set goes, it's a little narrower product set, a little simpler product set than some that are more sophisticated.  And as we went through this process and the last go round, we recognized and are building our business around the fact that we are acting as fiduciaries and a number of the recommendations we're making, particularly around retirement accounts. And so we took action at that point that we believe, based on what we know today that could change will help us be already in line with some of the proposed changes for the future.  So our business model works in our favor to a certain extent in some areas, our product set at least. And then also, we did make changes last time around our advice around retirement accounts and rollovers in anticipation of these types of ongoing changes in the future. And we think that positions us for less disruption based on the way that this version of the rule might come out.
Operator: And the next question comes from the line of Jeff Schmitt with William Blair.
Jeffrey Schmitt: The pretax margin term life was fairly high at 23% again, and it seems to be driven by, I guess, insurance expenses are kind of below historical levels, but is there anything else in that? And how sustainable, I guess, would you think that is?
Alison Rand: Yes. And to your point about expenses, it's really not that far out of historical levels. It does fluctuate from quarter-to-quarter. It was a little bit lower this quarter, but not something I would say was completely atypical of what you might see in any quarter going forward when you look at it in terms of as a percentage of adjusted direct premiums because remember, as I said earlier, a lot of the expenses do really move directly with premium growth.  The margins, especially with LDTI are expected to remain very, very stable. The only thing that would truly disrupt that would be is if we had an assumption change or significant assumption change. And, quite frankly, given the nature of our business, the fact that we're so much reinsurance to mitigate exposure on mortality, the fact that we only sell term life, and we have a very large homogenous book of business that we know how to predict.  And given how DAC works these days with a straight-line basis that it's not nearly as volatile based on persistency, we really do expect our margins to stay in this relative range. You might see some creep over time, but it will be very modest, which I think highlights as I think -- I believe Glenn opened in his remarks the predictability of this particular business. And you combine that with the generous cash flows it creates, and it really becomes just a key component of our business model and our financial business model.
Jeffrey Schmitt: Okay. And then on the proposed DOL rule, I mean do you see your main exposure being on fixed index annuities or will variable annuities be affected too? I mean, obviously, you probably may change that in the past with the regulation with the Reg BI. But I'm just curious, is that exposure really on the fixed index annuities at this stage? And how much of flows today are really from 401(k) rollovers? I mean, I know you do a fair amount.
Glenn Williams: Yes, Jeff, the -- it's a good add-on to the question Ryan asked earlier because our business -- our fixed index and fixed annuity business is very small. It's about 5% of total sales in the quarter, and that's on the pretty high end of the range. It fluctuates from between 2% and 5% of our total sales, and that's a combination of both fixed annuities and fixed index annuities.  In the fixed indexed annuities were called out in some of the discussion around the rule. So I think there's some feeling that they may be an area of focus in this edition of the rule. So our variable annuity business, which generally runs from about 22% to 26% of sales as the mix shifts over time, obviously, in volatile times, mix shifts toward VAs and their guarantees and less volatile, more predictable times it shifts back away from to non-guaranteed products like mutual funds, and we've seen that for years. And so that's very common. And it has -- it's moved in a fairly narrow range.  So I think if there's an annuity focus for us, it's a variable annuity focus which is a lot of the discussion from last time. And I think it's a lot of what we've prepared for in advance around the product mix question. We do a significant amount of rollover business where we can get you an exact number after the call. But that is an area where we recognized in advising on 401(k) and other retirement plan rollovers. That was the whole crux of the fiduciary question.  And that's where we went ahead at the last edition of the rule and made changes to make sure we were in line with fiduciary advice around those rollovers. So that's where we believe we -- as we understand it today, again, with a lot of room for change, we may be in a good position already on the rollable front.
Operator: And the next question comes from the line of Suneet Kamath with Jefferies.
Suneet Kamath: Just wanted to start with the term lapse rate. Alison, I think on the second quarter call, you gave us some good data in terms of what you saw in the first quarter, I think, 3% to 5%. And what you saw in the second quarter, I think you said 5% to 7%, if those numbers are right, do you have a comparable number for the third quarter? And maybe some color around how lapses trended through the quarter?
Alison Rand: Yes. And it's interesting. One of the reasons I didn't put those exact figures, first of all, the numbers have I don't want to say overly improved, but we have seen where the variances are have shrunk in the number of durations we're seeing it. So earlier in the year, we really were seeing things vary across the board which really was sort of the economic hit, what was going on in the marketplace.  It's interesting as we've analyzed that now, we're seeing it very specifically in a small number of durations. As I mentioned in my comments, not seeing it on the new business, the new business is really moving in line with our LDTI assumptions. And then on the outer year, say, duration 5 and later, it's very much in line with the assumptions.  It's really years 2 to 4. When you look -- when you look at those years, what jumps out at me is what I highlighted in the call that these were policies that people bought either right before or during the pandemic -- these were people think we're real -- we saw after the pandemic, as we expected, a lot of policies fall off the books pretty quickly. A lot of people did need jerk purposes during the pandemic, and then decided not to keep it post pandemic when they felt fears were gone.  I believe these are people, and this is my belief. I believe these are people that really did want to keep their policies and have held on to those COVID acquired policies for as long as they could. But as you're well aware, all the stimulus packages that were out for a long period of time are now gone, all the aid programs on bloom repayments are gone and just the economy for a lot of people in our marketplace has been challenging. Cost of living has been challenging.  So I see those being the driving factor as to why these particular durations or buckets of policyholders are being atypically impacted. So it's one of the reasons why I didn't go ahead and give something overall because unlike the earlier period, where it was really pervasive amongst durations, to me, this is a very specific thing we're seeing, which we do expect to run off and again, which is why we did not go ahead and change any long-term assumptions under LDTI.
Suneet Kamath: Okay. That makes sense. And then I guess maybe on senior health, it sounds like there's some incremental challenges, I think, based on reading the press release, some hiring delays. And then I think, Glenn, you had mentioned some higher attrition.  And then lastly, I normally think about this business as being sort of profitable in the fourth quarter, but I think you're guiding to a loss. So maybe just some color around what you're seeing there. It just feels like maybe it's not getting kind of back on track like we had kind of hoped it would.
Glenn Williams: Yes. It's -- you're right about the normal cadence of the business. The fourth quarter is normally the -- during AEP, the most significant quarter. And so what we've seen is it's not mysterious in hindsight now that we see it and of course, it was something we were trying to control as we go, but we weren't able to totally control it is we wanted to grow the size of our sales force by hiring new and also retaining experienced reps.  We've got -- we feel like a good pool of talent out there to hire new but we didn't retain as many of our experienced salespeople as we wanted to. And so what that's led to is a larger sales force, but with a newer mix of reps. And the reality is the newer mix of reps are not as efficient. Their number of sales per leads are not as high. And so that leads to the increase in CAC that we saw in the third quarter.  And we're just anticipating that we'll see some -- see that again in the fourth quarter and lead to a loss in the fourth quarter, a small loss in the fourth quarter rather than a small gain. So it's a fairly focused issue. We've taken all the actions or begun to take all the actions to deal with that.  As I mentioned in my prepared remarks, we feel very good about our leadership team that's in place now, having built or rebuilt that since the acquisition. And so we do have a lot of positives going on. The stability in LTV, we count as an environmental positive that we're gaining from.  It looks like the shopping and churn challenge that we had a couple of years ago that the industry had a couple of years ago has begun to normalize. So that gives us a much better environment to build the business in. It's just going to take some more work and take a little longer than we anticipated.
Suneet Kamath: Got it. Maybe just one quick follow-up. What do you think is driving the attrition of the experienced senior health folks?
Glenn Williams: I think it's a number of factors. I think that it's a general disruption that Alison talked about in the marketplace and in the economy. I think people are struggling financially and therefore, more likely to look for alternative employment that might give them more upside and a bigger opportunity. And we've been -- weren't able to put our finger on any one particular item.  Obviously, as we look at all of the retention aspects of our opportunity and compensation and other types of benefits. We're looking at all of that to make sure that we're competitive. It wasn't any particular one item that we could lay our finger on and have a quick fix. It's just a disruptive environment that we're operating in.
Operator: And the next question comes from the line of Maxwell Fritscher with Truist Securities.
Maxwell Fritscher: I'm calling in for Mark Hughes. As kind of a broad question about the recruiting environment. It seems as though there is some opportunity for growth considering the payroll numbers from the labor department came in a little cooler than expected, seems like it should be maybe a catalyst, any thoughts there?
Glenn Williams: Yes. Maxwell, it's interesting. The response I was giving to Suneet about senior health was about our employed sales force at e-TeleQuote, which -- where there is -- there's quite a lot of competition for employees.  Interestingly enough, the economic disruption actually leads toward more people looking for alternatives. The people that maybe are looking for an alternative to their senior health sales position -- that's true, people looking for alternatives everywhere, which actually helps drive Primerica's overall independent salesperson recruiting.  So the dissatisfaction that's a headwind for our ETQ business actually is a tailwind for our recruiting of our overall sales force, which is kind of an interesting contradiction. And so our recruiting is not directly tied to employment. Remember, people are not looking for a job when they come to Primerica that has a paycheck next Friday. They're looking for an opportunity that they can build over several years.  And so we don't see direct competition generally based on the tightness of the labor market, particularly when that tightness is created by jobs maybe that are not high-quality jobs that are often lower paying where people are employed, but they're underemployed, that's the perfect environment for Primerica to recruit to our larger sales force because people are frustrated, they're unhappy and they're looking for an alternative that they control. And that's the attractiveness I mentioned of our entrepreneurial opportunity.  So we're seeing a very high attractiveness in this environment even as the employment market tends to tighten in some months and then ease in other months as long as there are a lot of frustrated employees, that's what we need to be able to recruit large numbers at Primerica, and there's a lot of those out there. So we're not -- our recruiting of our Primerica sales force is not subject to the changes in the labor market quite as directly as it might appear.
Maxwell Fritscher: Yes, that's very helpful. And that's all I have.
Glenn Williams: Good. And if I could circle back around to the questions about rollovers, about 1/3 of our U.S. mutual fund sales volume comes from 401(k) rollovers. And I believe Ryan had asked that question. So Ryan, if that's helpful, I thought I'd give you that stat about 1/3 of mutual fund volume is 401(k) rollovers.
Operator: And ladies and gentlemen, at this time, there are no further questions. And that concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.